David Mulholland: Good morning, ladies and gentlemen. Welcome to Nokia's Third Quarter 2025 Results Call. I'm David Mulholland, Head of Nokia Investor Relations. And today with me is Justin Hotard, our President and CEO; along with Marco Wiren, our CFO. Before we get started, a quick disclaimer. During this call, we will be making forward-looking statements regarding our future business and financial performance, and these statements are predictions that involve risks and uncertainties. Actual results may therefore differ materially from the results we currently expect. Factors that could cause such differences can be both external as well as internal operating factors. We have identified such risks in the Risk Factors section of our annual report on Form 20-F which is available on our Investor Relations website. Within today's presentation, references to growth rates will mostly be on a constant currency and portfolio basis, and other financial items will be based on our comparable reporting. Please note that our Q3 report and the presentation that accompanies this call are published on our website. The report includes both reported and comparable financial results under reconciliation between the 2. In terms of the agenda for today, we will go -- Justin will go through our key messages from the quarter, and then Marco will go through our financial performance. We'll then move to Q&A. With that, let me hand over to Justin.
Justin Hotard: Thank you, David. Overall, we delivered a solid performance in the third quarter, in line with our expectations. We grew net sales by 9% with all business groups growing. Order intake was again strong, particularly in optical networks and IP networks driven by AI and cloud customers. Our profitability in the quarter was as expected. Network Infrastructure gross margin improved sequentially, that was impacted slightly by product mix. Cloud and Network Services had a strong gross margin in the quarter. Product mix impacted the gross margin of mobile networks with a lower mix of software revenue. Our operating margin declined year-on-year due to a onetime benefit seen in the prior year from a loss provision reversal. Without which our operating margin would have been flat. The broader demand environment remains healthy as we move into the fourth quarter. We have seen some improvements in CSP expectations along with the strong order intake I mentioned in AI and cloud. In fact, entering the fourth quarter, our backlog coverage is stronger than in recent years. We're also pleased with our progress on the Infinera acquisition. We are ahead of schedule with the integration time line and with synergy expectations. The acquired business contributed strongly through both our net sales growth and order intake growth in Q3. So after a solid Q3 and continued strong order intake, we are well on track to achieve our full year outlook. We expect the fourth quarter with net sales growing sequentially and slightly above our historical seasonality of 22%. We are currently tracking towards the midpoint of our operating profit outlook range. Let me now share a few highlights across the business from the third quarter. For our network infrastructure business, and the key highlight has been our progress in the AI and cloud customer segment. In Q3, this segment accounted for 6% of our group net sales. Breaking it down, it was 14% of our network infrastructure business and more specifically, 29% of optical networks. In Optical, as mentioned, our 800-gig ZR, ZR+ coherent pluggables became available in the quarter and ships to our first hyperscale customer. Our pipeline in this space is growing as customer investments accelerate and data center architectures evolve. Q3 also saw us announce strategic partnerships with both end scale and Super Micro. With Endscale, we are now a preferred partner for advanced networking technologies across our NI portfolio. Super Micro is adopting our SR Linux network operating system for their 800 gig Ethernet switches, providing expanded footprint for our network operating system. Finally, we secured 2 new design wins for our switching platform in the quarter with hyperscalers. The market is growing rapidly. And while I'm pleased with these initial signs of progress in IP networks, clearly, we still have a lot of work ahead of us. In our fixed network business, we launched our new 50 gig PON offering. With our unique solution built on our Chilean chipset, operators can easily evolve from GPON to XGS, 25 gig and 50 gig PON on the same fiber. Ready with encryption for the post-quantum era, Nokia solution also provides enterprises with the bandwidth, security and reliability they require. Customers like Frontier Communications in the United States are already using our unique PON technology to seamlessly introduce 25 gig PON. Now I want to turn to our mobile businesses, starting with Cloud and Network Services. The team has delivered strong network -- net sales growth and operating profit growth as it continues to focus on autonomous cloud native architectures. In voice core, we became the market share leader in the first half of 2025 and as reported by Dell'Oro. Approximately 70% of 5G stand-alone core network deployments outside China use a portion of Nokia's 5G core stack. And network penetration is still less than 30% for 5G stand-alone core. In Mobile Networks, we continue to see the market stabilize. We recently announced a deal with Vodafone 3 that will see us enter their new combined network in the U.K. as a major RAN supplier with approximately 7,000 sites. We are focused on improving the returns in the business over time. delivering for our customers and differentiating through innovation. In Nokia Technologies, we secured several new agreements in the quarter. The team continues to be disciplined on productivity and operating leverage. While we are now entering the heightened investment phase for 6G standardization, we continue to see stability in our annual operating profit. In Q3, we completed a strategic review of our venture fund investments. We have decided to scale down our passive venture fund investments. Over time, we will substantially reduce the capital deployed in these areas. As a result, our venture fund investments are now reported within financial income and expenses. Going forward, we will consider targeted direct minority investments in companies that help us to accelerate our strategy. An example is the investment we made in Endscale alongside the strategic partnership that I referred to earlier. Because of this change, we are making a technical change to our operating profit guidance. increasing it by EUR 0.1 billion, which is related to the negative impact the venture funds had on our operating profit in the first half. However, operationally, our guidance is unchanged. After a solid Q3 and with recent order trends, we are well on track to achieve our full year outlook for operating profit. As I mentioned before, we expect fourth quarter net sales to grow sequentially at slightly above our historical seasonality of 22%. And we are tracking towards the midpoint of our operating profit range of EUR 1.7 billion to EUR 2.2 billion. At our Capital Markets Day in New York on November 19, we will share our strategy to unlock the full potential of our portfolio and the steps we are taking to focus the company to deliver ongoing growth and operating leverage. The AI super cycle is accelerating demand for providers of advanced and trusted connectivity. Nokia is uniquely positioned to be a leader in this market. With that, let me hand it over to Marco to discuss our financial performance.
Marco Wiren: Thanks, Justin, and hello from my side as well. In quarter 3, we saw net sales increased by 9%, and we are pleased to see growth across all our business groups. Gross margin for the group declined 150 basis points year-on-year, and this was largely as we have expected. And this is because of the product mix within both network infrastructure and mobile networks. Operating margin was 9%, 220 basis points below the prior year, although this was mainly due to a onetime impact from the reversal of loss allowance for trade receivables in the prior year. Without this, the operating profit -- operating margin would have been flat year-on-year. And we generated EUR 429 million of free cash flow and ended the quarter with $3 billion of net cash. I would like to update you on our cost savings program, which we introduced in 2023. We expect to get about EUR 450 million savings in 2025. And going forward, we will focus on delivering operational leverage through continuous productivity improvement, IT simplification, digital instrumentation and organizational efficiency rather than using large restructuring programs. Ultimately, this means a cultural shift towards consistent cost discipline and efficiency to help us deliver our strategic calls. Turning to business group now, starting with net infrastructure, which had another strong quarter with 11% growth. Optical Networks was the standout performer with 19% sales growth and continue to see strong order trends with book-to-bill well above 1. IP Networks also saw a strong growth in orders in the quarter as we start to see and increased traction with AI and cloud, as Justin mentioned. IP Networks sales grew 4% and fixed networks grew 8% in the quarter. Gross margin was impacted by product mix and declined 190 basis points, although it did increase from the level we had in quarter 2. Operating margin declined because of lower gross margin along with the increased investments in R&D and the acquisition of Infinera. In the quarter, we see -- did see a small positive contribution to operating profit from Infinera as we start to see some initial benefit from synergies, along with the growth in the business. Cloud and Network Services sales grew by 13% in the quarter as we continue to see strong demand for our cloud-based core platforms. Gross margin increased 380 basis points as we improved cost of delivery, along with the operating leverage benefit of higher sales. Operating margin also increased by 250 basis points with some of the gross margin strength partially offset by higher R&D expenses. And mobile networks net sales increased by 4% year-on-year, driven by growth in Vietnam and Middle East and Africa. In quarter 2, we said we expect Quarter 3 gross margin to be lower than normal, reflecting a lower software contribution, and this was indeed the case. During year we saw a 370 basis point decline. With respect to operating margin, although operating expenses declined, the reversal of loss allowance in the prior year meant that operating margin declined. Without this, the operating margin would have only slightly declined despite this being a quarter with a low software contribution in the mix. Turning now to Nokia Technologies. Net sales grew by 14% in the quarter, and we signed several new deals in quarter 3. And our annual net sales run rate remains at approximately EUR 1.4 billion. Operating expenses in quarter 3 saw some timing benefits and therefore, will increase slightly in quarter 4. We continue to expect EUR 1.1 billion operating profit for the full year in Nokia Technologies. Now let's look at the net sales by region. In North America, we saw strong growth in network infrastructure and cloud and network services, while mobile networks declined slightly. In APAC, India sales grew in network infrastructure, driven by strong demand for fixed wireless, while mobile network sales returned to some modest growth. Outside of the benefit we saw from Nokia Technologies, Europe was stable in quarter 3. Now turning to our cash performance. We ended the quarter with a net cash position of EUR 3 billion. Free cash flow was positive EUR 49 million, consistent with our profit generation and well-managed working capital. We continue to target 50% to 80% free cash flow conversion from comparable operating profit for the full year.
David Mulholland: Thank you, Justin and Marco. Before we turn to the Q&A session, you should really received an invitation to register for our Capital Markets Day, which as Justin mentioned, will be held in New York on the 19th of November. We hope as many of you as possible will be able to join us at the event. As usual, for the Q&A session, as a courtesy to whether is in the queue, can you please limit yourself to 1 question and a brief follow-up. Kelly, could you please give the instructions?
Operator: [Operator Instructions] Yes. Let's go. I'll now hand back to David Mulholland.
David Mulholland: We will take our first question today from Artem Beletski from SEB.
Artem Beletski: So my question would be relating to IP Networks and switching business on that front. So how do you see the progress on that front in general. And you have also said to target 3 quarters ago, when it comes to year 2028. So are you well tracking on it?
David Mulholland: One second, could you start your question again, please? We just got tech difficulty on our side.
Artem Beletski: Yes, no worries. Can you hear me now?
David Mulholland: Yes, we can hear you.
Artem Beletski: Okay. Great. So I would like to ask a question relating to IP Networks and your initiatives what comes to data center and switching business. So you mentioned that you have some new design wins during the quarter. So how you're tracking against your target for 2028? And also, should we anticipate some contribution to revenues looking at upcoming quarters?
Justin Hotard: Yes. So Artem, I think as I've said in a couple of forms, but maybe just to share here, I think when we talk about EUR 100 million incremental investment, the reality for me is that's a small portion of our overall capital. And so I don't think you'll see us focus on that metric going forward. What I will say about the business is, I was pleased with the wins I'm pleased on the book-to-bill in IP networks overall. The reality, as we all know, is that we're still a fairly small player in this space, well behind some of the market leaders. So we're at the start of a journey. But the announcements we've made, I think are positive. The metrics are positive. It's much more work to be done longer term.
David Mulholland: Did you have a quick follow-up, Artem?
Artem Beletski: Yes, absolutely. So maybe more general questions. So looking at your growth opportunities when it comes to AI and cloud. So it was sales in the quarter, so increased compared to Q2. But in general, looking at the next couple of years, where do you see the biggest growth opportunities looking at different customer segments. So as it's like hyperscalers, enterprise or super insight where you see the biggest opportunity for you?
Justin Hotard: Yes. I think, first of all, the biggest opportunity is clearly it's clearly is in the hyperscalers and the neo cloud. So that's driving most of the demand. Obviously, the partnership with Endscale is a good example of our focus in this area. We've made other announcements in the past. And we also believe that sovereign clouds will present a significant opportunity for us over time. As we've talked about before, we're optimistic about the work that's being done in the EU as well as in other regions. So we think that these are all important growth segments for us. But clearly, the demand today is largely coming from the hyperscalers on some of the larger neo clouds.
David Mulholland: We'll take our next question from Simon Leopold from Raymond James.
Simon Leopold: Appreciate it. So nice to hear about the progress in the hyperscalers. I want to dig a little bit more deeply here in that more recently, we've heard about an application refer to a scale across for optics, which I think of as basically data center interconnect on steroids. Could you talk a little bit about what this means for Nokia in particular and how you see that as an opportunity.
Justin Hotard: Yes, sure, Simon. And I think it's something that's been around obviously scale up or what's been talked about at scale across has been in networks for in data centers for a long time in certain parts of the market. So this isn't a new technology. But what is happening is as we push bandwidth demands, which obviously the AI data centers are driving it's creating new demand for innovation in that space. And I think this is where the assets we have, I think, are well positioned. It's not a place where I can tell you we can point to it and say, we've got material revenue today. It's still early days. But I do think if you look at our assets here, particularly what we're doing in Indian phosphide with the fab, the ability to build optical components down on the indium phosphide silicon and innovate and packaging in these areas. We think we've got technology that can be relevant here. But obviously, as bandwidth demands continue in networks, both scale across and scale out, which is what we typically call -- what we typically see in top-of-rack networking and IP switching, both of those create tremendous opportunity for us. And the way I would dimensionalize the opportunity in optical is we'll share more of this at CMD is that every time you get to the next unit, if you go from the long-haul networks to the metro networks to the data center or inside the data center, then inside the rack, each 1 of those has incremental opportunity at a volume level. Of course, there's a performance and cost delta you have to hit as well because what we build for long-haul networks is obviously going to be significantly more expensive than what you'd have to build to fit inside of a server inside of a rack. So there's a part of this that will require us to continue to innovate in this space. And you'll hear more about it in our discussions.
David Mulholland: Did you have a follow-up, Simon?
Simon Leopold: Sure. Yes, I presume we'll talk about the long-term strategy, of course, at the Capital Markets Day. But I'm wondering if you could provide us a few thoughts on how Nokia's plan is regarding 6G mobility investments. Have you started investing? Is that in the R&D today? Is it something that starts in 26 or is it something further out in time? I'm just really focused on modeling for the moment because I expect we'll hear some more at the Capital Markets Day next month.
Justin Hotard: Yes. So on technology standardization, which is obviously very important relevant for tech, that work has already started and the investment is ongoing. And as I touched on in my comments, we're going to go through a bit of an investment. You go through a bit of an investment cycle in that space. So that ramp is happening, and we obviously reiterated confidence in the on the ongoing profit outlook for Nokia Technologies as a part of that. So I think that gives you some indication from a modeling standpoint. For MN, we are -- we've talked about this publicly. We're doing work on early on 6G -- I'd say pre-standard 6G radio technology. There's more work here. I think the thing for me in this space is. And Simon, I've talked about this a little bit in comments as well as I think there's a lot of focus on for obvious reasons on the G transition, the 3G, 4G, 5G, 6G. I actually think what's more important for us is what we've done in cloud and network services, which is the pivot to a cloud-native core. And then you look at the results and the performance on share capture and revenue growth. I think that's a good indicator for how we see the -- we're going to start to think about the opportunity in RAN, which is as we go into AI and in yes, there's going to be a new generation of radios in terms of hopefully, frequencies with spectrum approvals and, of course, 6 capabilities in terms of spectral efficiency. But there's a lot more to do in terms of radio capabilities and features. And we've got -- this is why we announced things like the AI ran Alliance. Previously, it's where we see opportunity with our work in Cloud RAN, for example. And I think that's where we'll continue to invest. What will impact for you is that these are things that we need to focus on and invest and innovate and of course, continue to work closely with customers. So we'll unpack that for you at CMD as well as how we're approaching that. But I wouldn't assume that we haven't -- it's a binary thing where we haven't started. It's a part of ongoing investment.
David Mulholland: We'll take our next question from Alex Duval from Goldman Sachs.
Alexander Duval: Yes. Thank you so much for the question. Firstly, just dovetailing off the last question, I'm very much looking forward to hearing more about the long-term tech strategy on wireless. Just in the short term, you talked about a measure of stabilization there. I wondered if you could give a bit more color as to the extent to which that's driven by the RAN market in your most important geographies versus progress you've made on your product? And then secondly, it was interesting to hear in your prepared remarks about how you will focus on cost control by ongoing steps like digitalization rather than large restructuring programs, wondered if at this point you could talk a bit more about what motivates that shift and the benefits this brings?
Justin Hotard: Let me start with the second part, Marco, do you want to talk about that [indiscernible]?
Marco Wiren: Yes, absolutely. And what comes to cost savings just like I mentioned in my introduction as well. So thinking is that operational leverage is extremely important for us and continues improvement is something that we want to get in our genes that every entity basically continuously in ways, how can we continuously improve and do things more efficiently and of course, here comes quite naturally in the new technologies, utilizing AI and other digitalization opportunities that you can find, and that's why IT simplification is extremely important in this and securing that we can actually get the benefit out of those different installations of AI that we have and continuously work on the process simplification and find ways how we can make the processes more efficient continuously. And it's not a one-off action. It's something that you have to do continuously.
Justin Hotard: Yes. And then in terms of the market outlook, first of all, I think you're pretty clear from what we've been saying that if you think about the AI and cloud market growing rapidly, the CSP market broadly has been quite stable. So as we think about that, when I look at our results, I think stabilizing in MN in terms of our performance being predictable. There's always puts and takes. There's going to be ups and downs in the quarter and varies based on a given customer's volume in 1 quarter. So we'll see a little bit of that. But when you look at the longer-term trends, I think we're feeling better about a stabilizing environment. And then on Cloud and Network Services, as I touched on, we believe that we believe we're growing above market rates at this point.
David Mulholland: Thanks, Alex. We'll take our next question from Sami Sarkamies from Danske Bank.
Sami Sarkamies: Could you please elaborate on the factors that drove the positive surprise in the third quarter as you had anticipated similar sales and margins as in Q2. And when we think about Q4, you also mentioned a strong order book, but do you have still uncertainties related to timing of deliveries as you chose not to narrow the guidance range down?
Marco Wiren: Yes. Thank you, Sami. And what comes to them, if you look at gross margin development and in different businesses, you can see that we had a very good development in Cloud and Network Services. And here, as you understand, this business has been frequently so that you get a big part of the profits in quarter 4. Now this year, we have been working actively to try to actually balance that distribution of profits more equal between the different quarters. But at the same time, you see also that we have increased our gross margins, and there's a few reasons for this. One is, of course, that we've seen a good traction on 5G stand-alone core implementations where we have been very successful in gaining market share. And then, of course, we've been working quite a long time in the CNS as well to clean up the portfolio. And this, of course, giving result as well. And the third point I would say as Wally is that also in our core business CNS has been working heavily to take cost out and make things more efficiently and by that, improving the margin levels.
David Mulholland: Do you have a follow-up, Sami?
Sami Sarkamies: Maybe a detail question on the 6% exposure to AAN Cloud in the third quarter. I think you mentioned 5% hyperscaler exposure after Q2. These are different metrics, right?
Justin Hotard: These are comparable, Sami. So think of the 5% 6% as Q3.
David Mulholland: We'll take our next question from Richard Kramer from Arete.
Richard Kramer: Justin, when we look at your competitors into the various NI divisions, many of them are point solutions in 1 or another of the field of routing optics are fixed. In the current hyperscaler [indiscernible] are these areas being kept separate? Or do you think that the end-to-end promise we heard about so much from both of the prior CEOs at Nokia is finally being realized at least within NI?
Justin Hotard: Well, I think a couple of things on this, Richard. So first of all, for me, clearly, fixed access is its own business and the technology and innovation there is coming out of a few markets. I mean, the largest 1 for us, obviously, is in the U.S., but there's other markets where we're seeing technology and innovation opportunities and so I think that's almost its own trend. And I shared -- obviously, I shared the discussion around the 50 gig PON but this capability that we have to allow you to add new technologies in line in your terminals, we think is a true differentiator. We hear that from customers. The customers using it, believe it gives them value because they can -- they don't have to invest in a complete infrastructure upgrade to overhaul. The key message there is we're competing on the technologies merits itself. And I think if you look at IP switching and certainly in optical networking, I would say the same. We've got a win on the technical merit themselves. I mean we've got very capable customers across our portfolio, AI and cloud as well as piece that want to buy best-of-breed technologies and enable their solutions and execute on their strategies and deliver value to their customers. And our focus has to be on doing the things that add value to them. and where I think there's leverage and synergy for us is being able to see what's happening across these markets and bring greater scale and innovation to them. But I think that for me, the term is an end to end. It's -- you've always got to have best-of-breed products, breast of breed technology, and then you've got to be able to leverage the ecosystem so that you're obviously, you're better together, but it's not something that we do that assume we could have a deficiency in 1 area. That's certainly not how we think about it.
Marco Wiren: And just in just sense that, of course, the compatibility is very important. So that's a benefit that we can get compared to competition, which only go with 1 product. And when we come with several products and they are best of breed and customers want to buy those, that those actually work well together.
David Mulholland: Did you have a follow-up, Richard?
Richard Kramer: Yes. Quick 1, quickly for Marco. We saw a reduction in your forecast restructuring cash outflows from EUR 450 million to EUR 350 million. and an increase of EUR 50 million in gross cost savings. Is this Nokia finally transitioning from what's been a decade-long restructuring to maybe being able to focus more beyond '26 on just growth?
Marco Wiren: Yes. I would say that the important thing is that we want to avoid this large-scale restructuring programs going forward and more get this into our DNA as continuous improvement and customer focus and secure that we continuously find ways how we can take out cost in our fixed cost basis and our operations and utilize all the digitalization opportunities that could bring instead of doing this large-scale cost-cutting programs. So that's our focus going forward.
David Mulholland: We'll take our next question from Felix Henriksson from Nordea.
Felix Henriksson: Good to see Infinera turning positive on operating profit contribution. And I wanted to ask about that, that in light of the progress that you made on integration, do you see the EUR 200 million in run rate operating profit synergies for 2027 as conservative? And are these savings something that you will have to reinvest in the growth in the optical business, kind of what you're doing in the IP side of things?
Justin Hotard: Yes, multiple questions in there. So let me sort of answer. First of all, we'll provide a full update at CMD on our view. But I would say, certainly well on track on our commitments as we've talked about on the cost synergies, clearly, with the growth that we're seeing ahead of our expectations on top line synergies. And then I think in terms of investment, what I would say is we'll talk more about that talk more about that in CMD, but we're going to be very disciplined in capital allocation. Obviously, you saw 1 dimension of that with our decision on venture funds this quarter. But this is a place where if we see the opportunity to accelerate or enhance returns, we'll make continued investments. But right now, I think, again, pleased to be on track on the cost synergies and thrilled to be running ahead of expectations on revenue.
David Mulholland: We'll take our next question from Rob Sanders from Deutsche Bank.
Robert Sanders: I just had a question on mobile networks. This some speculation that the EU will apply pressure on some member countries to accelerate their swap out of Chinese vendors. So I'm just interested in that. And how you think about that given your recent public statements. And then, of course, I just want to talk a bit about OpEx, how you're thinking about OpEx into next year, given you clearly wanted to invest more in these growth areas.
Justin Hotard: Yes. So Rob, thanks for that. First of all, I mean, obviously, we're -- we would love to see regulations in the that create the market opportunity you're talking about. And I think it's important from a high-risk vendor standpoint, it's also important from a -- just from a sovereignty perspective in terms of having the largest providers of networks in the West being European. I think that's important. We're optimistic that we would be able to obviously grow and that capture some portion of that market if it was available. Number two, in terms of the OpEx question was really just around operating leverage. I think our -- my push is really specific on this is I want to see us drive operating leverage, something Marco touched on in his comments, but the reason for that is because I want to be able to maximize returns in terms of capturing value from the business we have and then deploy capital in areas where we think we can win, things like incremental R&D if there's demand in the market, things like increasing factory capacity and optics to the extent that we see opportunities there. And it's important, we talk a lot about the fabrication facilities. These are far smaller than you think of a fabrication facility in silicon. And actually, the investment sizes are much smaller. And again, we'll impact more of that for you at CMD. But those are the kinds of things I want to be able to deploy capital into, obviously, incremental sales coverage where we're seeing growth in AI. But I would think of all of this as is driving enhanced returns, not something that's going to -- not going to dilute our performance, and that's key.
David Mulholland: We'll take our next question from Andrew Gardiner from Citi.
Andrew Gardiner: Thank you, David. I just had 1 on gross profitability, please, both I suppose on the positive side and what you've seen in CNS and then perhaps on the more negative side with mobile networks. We're seeing quite a lot of volatility quarter-to-quarter. CNS clearly driven nicely in 3Q by the mix towards 5G core. Is that mix sustainable? And so high 40s gross margin for CNS is what we should be anticipating? Yes, perhaps with some quarterly fluctuation, but perhaps not to the extent that we've been seeing, right? Can you sustain gross margins around that level? And then similarly, on the other side with mobile, 41% in the prior quarter, down to 35% in the current quarter. Yes, I understand again, software mix has changed, but quite dramatic moves. What do you think is sort of a more normalized level, given the revenue run rate that you're at in mobile? What's a more normalized level of gross margin for MN at this point?
Marco Wiren: Yes. Thank you. If I start with the mobile network side, there is variability, and that's why we usually see that mobile networks would be better to look on an annual basis of 4 quarters because you have always some product mix fluctuations. The level of software has a big impact on gross margin and that you see also between quarter 2 and quarter 3, while we see this fluctuation between those quarters where you have more software in quarter 2 and less in quarter 3. And I would say that if you look on a longer-term or annual basis, then you can see the levels of mobile networks, gross margins and get an understanding of where it is and how we are tracking compared to previous year. And then when it comes to I mentioned already a few points there that are what about the reasons for the improved gross margins. And we definitely believe that it is sustainable. And this has been a multiyear journey to get the improvements here in up the portfolio, focus on cost out on the different products that we have. But also we see the market support here. It took for a while before the 5G stand-alone core started to get traction actually from our customer side on CSP side. Now we've seen in the past 18 months that it actually have been quite positive, and we have momentum there. And thanks to our cloud-based solution that we have, we have actually gained market share and been able to improve our market position.
David Mulholland: We'll take our next question from Daniel Djurberg from Handelsbanken.
Daniel Djurberg: Congrats to strong numbers. I actually would like to continue on that question, I heard the same, more or less. On the mobile networks, the software upgrades on stand-alone seems not to be in tandem, at least with the CNS on the 5D core. So should we expect to have a little bit of an upgrade in the baseband software radio unit software or ahead of us on back stand-alone core now being let down.
Marco Wiren: Usually -- I can start and Justin, if you have anything you can add as well. What usually happens is in the new generation is that you first install the hardware basement and radios, and when you see that the demand increases on the customer side, then you actually implement the core as well when you see that actually you need those features that the new generation can offer. And this is exactly the same example here in 5G. In the beginning, the 4G core was still functional quite well and on the early 5G installations. And now when there's more opportunities to slice and done the network, you need actually a 5G stand-alone core to be able to capture those opportunities and offer those services to our customer base.
Justin Hotard: I would just add a couple of things. I think we're -- we want to make sure we're clear on the Q2 to Q3 margin impact in is timing because of how we release software in this portfolio, which is we release an upgrade, we then recognize the revenue of those upgrades as they get deployed into customers and they largely customers take their release. And so that's the timing dimension between Q2 and Q3, but also realize that the MN baseband software, which is the majority of the software revenue we have in mobile networks today, is still largely in a legacy, what I would call more legacy appliance model. Cloud and Network Services or our core networks have moved to a cloud model. And that means you have much -- we have more subscription-based pricing. We have more ratable deployment. That means customers will be paying on a recurring revenue basis for an ongoing support and service. So whether it's a subscription-based models there. It's a very different. It's a different business model and that dynamic. Obviously, we think that's the long-term direction of travel in mobile, but that's not where the market is today. Today, our CloudRamp business is fairly small.
David Mulholland: Did you have a quick follow-up, Daniel?
Daniel Djurberg: Yes, please. Yes, just a question on -- a little bit on your work already in Q2, you commented to unify corporate functions, simplify work, et cetera, and more change culture, but to unlock the operating leverage. And then you've seen quite a large changes, especially when your CTO office. And my question is on the Nokia Bell Labs organization. Should we expect this to be more focusing on AI data center than on the mobile networks and radio access networks ahead given the departure of [indiscernible]?
Justin Hotard: Yes. Look, I think for me, a couple of things. First of all, I talked about functional excellence, which was the purpose around the corporate functions. And I think having a leader that is the Chief Technology and AI officer that's focused on technology key areas of our platforms, AI, security, cloud, all of those elements that we're touching on or talking around on this call today is very important. And having someone who's excellent in that but also understands fixed -- our fixed network infrastructure business and mobile infrastructure. And if you look at Palabi's background, she has a career where she's done both across Juniper HPE and then also at Intel. And then the other thing was focused around corporate development, and that was not just out of the strategy organization, but also bringing together some of the corporate development folks we had within the business groups and also within the finance organization. So for me, this is all about around functional excellence and aligning accountability and having cleaner and simple functions. And then obviously, we also moved the digital office or the IT organization into finance, which really ties back to the focus that Mark touched on in his comments around driving ongoing improvement, ongoing productivity and enabling that through digitization, through AI, through simplification around processes. And obviously, IT is an important part of how you both simplify and standardize and realize those benefits. And so we felt like that was a natural alignment. So I think that's the way I would think about it. I think it's important. We have 2 compelling assets in both our network infrastructure business and our mobile portfolios. And we had a CTO that can look across all of that and also make sure that we're thinking about the right long-term investments in Nokia Bell Labs, whether it's from a research or from a near-term innovation standpoint.
David Mulholland: We'll take our next question from Emil Immonen from DNB Carnegie.
Emil Immonen: Hi, can you hear me?
David Mulholland: Yes, we can hear you now.
Emil Immonen: So I wanted to maybe ask a little bit on the demand in Europe in general. So on the revenue decline on some parts in NI and also mobile networks in Europe. Do you see that this is more, let's say, structural or would you say that this is temporary in the way that Europe is just not investing right now. How do you see this developing going forward?
Justin Hotard: I think in terms of CSPs, I think that I would say telcos, it's stabilizing demand, and we think that's a good thing. Obviously, we talked about the potential of upside in Europe over time if there's regulation that addresses high-risk vendor status. But I think overall, that feels pretty good. And then Look, we're excited about the potential of AI and data center business in Europe. We're certainly excited about the opportunity we -- the partnership we have with Endscale and the opportunity for other companies to invest in Europe. And so we like the trends of what we're seeing. But the reality is the majority of the investment today is happening in the U.S. And so as you look at our revenues and you look at our profile, the demand is coming from the U.S., and I think that's important. So that's how I would net it out.
David Mulholland: Did you have a quick follow-up, Emil?
Emil Immonen: Yes. Maybe quickly touching on the private wireless side. The customer numbers grow nicely, but you haven't really discussed it at all in terms of revenue or anything. Could you say how is that part of the business going.
Marco Wiren: Yes. Just like you said, we've seen a nice increase in number of customers. But remember, we are still in a very early phase of this journey. And even if growth rates are pretty good, but it will take some time before this will be a meaningful business. So it's worth focusing more about that.
Justin Hotard: Yes. And I would just add, I think if you look at where we are today, I think Marco has summarized it well. I would tell you that where I see our biggest opportunity is in focused vertical markets vertical market use cases. And so there's some examples in railways, for example, and utilities is the other, right? So if you look at those, those are the places where we've got opportunity. But again, this goes back to that message of focus.
David Mulholland: Our next question from Sébastien Sztabowicz from Kepler Cheuvreux.
Sébastien Sztabowicz: Coming back to mobile networks. Your business is going back to moderate organic growth in the third quarter, but to remain close to breakeven rather those days. How do you plan to return to more decent margins in the coming years, maybe not double digit, but maybe high single digit, is it more cost cutting? Is it more to support your revenue with more growth opportunity? And the second question is also linked to mobile. We have heard some comment that the Chinese government could be looking to push the network vendors in Europe outside the Chinese market? Is this something that you already see in your order intake in China? Or is this not something that you see already in your business?
Justin Hotard: Yes. Absolutely. I mean, I addressed this a little bit in my comments. I mean, I think on mobile networks, we're absolutely -- 1 of my priorities right now is on improving the returns. And I think we do that in a couple of ways. Continued tight focus and tight engagement with customers. It ties a little bit to the second question you asked, which I'll address in a minute, but tight focused engagement with customers, particularly those customers that want to co-innovate and collaborate with us. because I think differentiation for us longer term comes through innovation and technology leadership. That was historically where the market was. I would say that obviously, if you go back 5 years, the business -- the company's business was in dire straits because we weren't in that case. We've now stabilized the portfolio. But as an industry, and I think certainly as a player in this industry, we need to continue to innovate. So that's as much of a preview as I'll give you to CBD, but I'd encourage you to attend. But I think absolutely, that's the line of where we're headed. And then in terms of China, this is 1 of the places where we were largely not exposed. The revenue in China has come down massively over the last few years. So I -- the reality is it's a fraction of our revenue today, and our market share is fractional in mobile networks in China. It's not a core market for us. So the communications from the government, obviously, we follow those closely. We respect and support their decisions. And the reality for us is we're going to focus on markets where we believe there's significant opportunity and customers where we believe we can collaborate and innovate. And I think there's more opportunity ahead for us.
David Mulholland: We'll take our last question from Didier Scemama from Bank of America.
Didier Scemama: Thanks, David, a question for Justin really. You've been in the job now for a few months. I just wondered if you could share your thoughts about the direction of the business strategically, especially when it comes to the mobile networks the core activities and also IPR, which are vastly different, I guess, from your day-to-day activities, which presumably are focused on getting those AI and cloud contracts. So that was my first question, and I've got a quick follow-up.
Justin Hotard: Sure. So Didier, look, I think probably nothing I haven't shared in my comments. I think we have 2 businesses: network infrastructure, and mobile businesses in the portfolio. I mean, obviously, if you look at the comps, there's 4 major providers of mobile infrastructure. They all have 3 things. They have core networks, they have the radio networks, which was what we call MN and they have IP licensing, which is what we call tech. So I think we've got a pretty clear -- it's pretty clear you need the full portfolio. If you look at the players that have not had the full portfolio they've all struggled to innovate or sustain a foothold. And so I think that's for me, number one. In terms of the difference, look, as I've said before, I think connectivity is going to be an area where performance, reliable and trusted providers are going to be very valuable. And the reality is we have a portfolio that plays across all of those core elements of connectivity. What we're seeing today with AI, and I think the thing that, candidly, we weren't capturing a historical Nokia prior to the Infinera acquisition as much as we could have, was the fact that in our optical and IP businesses, the market -- the technology investment or the technology leadership has shifted to cloud and now AI and cloud. So now we're starting to capture some of that. Like I said, I'm pleased with the progress there. And I think that same -- I think you're going to see those same trends happen and roll into mobile over time. Because ultimately, if you think about some of the compelling uses of AI, autonomous vehicles, robotics, smart glasses, virtual reality, augmented reality. They all need mobile connectivity and I think that will be favorable. But I don't know if the answer I think -- I don't think the answer is going to be doing the same thing we've always done. I think we have to continue to innovate. And that's why I like what we've done in cloud and network services with setting up an autonomous cloud native core stack, and I think there's more opportunity for us ahead in mobile networks. Again, it's going to require the things I talked about: focus, collaboration and co-innovation with customers and an emphasis on best-of-breed technology and strong partnerships.
David Mulholland: Did you have a quick follow-up, Didier?
Didier Scemama: Yes, completely unrelated on the Nokia Technology side. So I mean, Nokia sold their phone business to Microsoft, what 10 years ago or so. So I just wondered how is the innovation pipeline in the IPR business for the nonstandard essential patents? Is there a risk of a cliff at some point as you're not in the phone business? Or are you confident that you can continue to monetize the SCP and non-SEPs at least at the current level?
Justin Hotard: Yes, absolutely. I mean I think this is a good question. So just back to the comment I just made. Again, every player of scale in mobile infrastructure has to -- has a strong IP business, what we call tech with the changes, I didn't touch on this in my earlier comments, but with the changes we made in the CTO office, we've also now really tightly aligned the Standards team into tech. But we see -- one, we see very good , stable revenue in the business. We are -- we've said already, we're starting to invest in 16 gene monetization. That's important for us. And we see other -- we also see other emerging revenue streams in other segments. So I think the business is very healthy. The team is doing an excellent job. They're also doing, I think, probably the best job of any of the businesses right now. And in pushing on operating leverage so that they can continue to deliver the performance they need to. And you'll hear a little more about that in CMD. So that's the last plug I'll make for CMD. But we'll talk about some of that as well there.
David Mulholland: Thanks, Justin, Marco, for the comments. Ladies and gentlemen, this concludes today's call. I would like to remind you that during the call today, we have made a number of forward-looking statements that involve risks and uncertainties. Actual results may, therefore, differ materially from the results currently expected. Factors that could cause such differences can be both external as well as internal operating factors. We have identified such risks in the Risk Factors section of our annual report on Form 20-F, which is available on our Investor Relations website. Thank you for joining us.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.